Operator: Good day, ladies and gentlemen and welcome to the Third Quarter 2011 Arbor Realty Trust Incorporated Earnings Conference Call. My name is (Shinel), and I’ll be your operator for today. At this time, all participants are in listen-only mode. Later, we will conduct the question-and-answer session. (Operator Instructions) As a reminder, this conference is being recorded for replay purposes. I would now like to turn the conference over to Mr. Paul Elenio, Chief Financial Officer. Please proceed.
Paul Elenio – Chief Financial Officer: Okay, thank you (Shinel). Good morning, everyone and welcome to the quarterly earnings call for Arbor Realty Trust. This morning we will discuss the results for the quarter ended September 30, 2011. With me on the call today is Ivan Kaufman, our President and Chief Executive Officer. Before we begin, I need to inform you that statements made in this earnings call may be deemed forward-looking statements that are subject to risks and uncertainties, including information about possible or assumed future results of our business, financial condition, liquidity, results of operations, plans and objectives. These statements are based on our beliefs, assumptions and expectations of our future performance, taking into account the information currently available to us. Factors that could cause actual results to differ materially from Arbor’s expectations in these forward-looking statements are detailed in our SEC reports. Listeners are cautioned not to place undue reliance on these forward-looking statements, which speak only as of today. Arbor undertakes no obligation to publicly update or revise these forward-looking statements to reflect events or circumstances after today or the occurrences of unanticipated events. I’ll now turn the call over to Arbor’s President and CEO, Ivan Kaufman.
Ivan Kaufman – President and Chief Executive Officer: Thank you, Paul, and thanks everyone for joining us on today’s call. In a moment, Paul will take you through the financial results for the quarter, but first I would like to spend some time talking about some of our accomplishments and outlooks for the remainder of 2011 and 2012. As we stated on our last few earnings calls, we have heavily focused on our core lending business with the goal of increasing the quality of platform our net interest spreads and core earnings overtime. In the third quarter, we originated six loans totaling $29.7 million with a weighted average yield of approximately 7.5% and we have now originated 16 loans totaling a $103 million for the nine months ended September 30th with a weighted average on leverage yield of approximately 7% and a weight average leverage yield of 16%. We’ve also expanded our investment opportunities are becoming active in a residential lending arena, which is an area we have significant amount of experience in. We believe these investments will diversity our platform and generate outsize returns and a such in the third quarter, we purchased two residential mortgage securities totaling $4.6 million with an average yield of approximately 6% and 11 returns of around 30%, and estimated average life of six to nine months. And in October, we purchased two additional residential securities totaling $25 million with $20 million of leverage that will also generate leverage returns expected to be approximately 30% and average return of life of 12 to 18 months in addition to generating $15 million of loans and investments with a weighted average yield of approximately 18% with a target leverage return to exceed 15%. Additionally, our pipeline remained strong and will continue to put our capital into new investment opportunities with a targeted return of 15% on non-leverage or leverage basis. We will look to achieve these targeted returns by continuing for leverage certain of these investments with a low cost CDO debt when appropriate as well as with additional financing facilities when available including the new $50 million bridge loan financing facility we obtained in July. This facility provides leverage of up to 75% depending on the assets finance and as of today, we have utilized approximately $25 million of the capacity. We remained disciplined in selective and a pleased with the opportunities we are seeing in this recovering market to buildup our portfolio with high quality assets and increased our core earnings overtime. We also continued to be successful in recycling our capital through run off and monetization of our non-performing and unencumbered assets, which is increased our available of liquidity to deploy into new investment opportunities. Our cash position as of today is approximately $55 million not including approximately $23 million of cash posted against our swaps and approximately $35 million of cash available for reinvestment in our CDOs. We also have around $125 million of net unencumbered assets, many of which are either CDO eligible or able to be financed through other facilities which could produce additional liquidity. In fact in October, we entered into an agreement to sell one of these unlevered assets for approximately $28 million, which is closed prior to year end. These assets combined with cash on hand and cash posted against our swaps gives us approximately $205 million of value. This is in addition to approximately $245 million of value between the equity in our CDO vehicles and real-estate on assets for total value of approximately $450 million. Effective management of our CDO vehicles remains the top priority, we will continue to receive all of the cash distributions from these vehicles to-date. We currently have three vehicles in place with the ability to invest the new assets until January of 2012 and one of our CDOs while there can be no assurances that our CDO vehicles will continue to cash flow in the future. We’ll remain focus on optimizing and utilizing these facilities one possible with a goal of enhancing our returns and increasing our core earnings overtime. As we’ve discussed in the past, we’ve been successful in repurchasing our debt at deep discount and monetizing our equity kickers generating liquidity recording significant gains and retaining a substantial amount of our equity value. In the third quarter, we repurchased $10.7 million of our CDO debt for $5.6 million recording a gain approximately $5.1 million with combined with the gains in the first two quarters totaled $7.9 million of gains from debt repurchases for the first nine months. We also repurchased some of our CDO bonds in October for a gain of approximately $1.5 million and we will continue to evaluate the repurchase of our CDO debt going forward based on availability, pricing, and liquidity. Additionally, during the third quarter, we were also successful in monetizing one of our equity kickers perceiving cash and recording a gain of approximately $3.6 million. We are also very pleased to have all but completed the previously approved stock buyback program. To date, we have repurchased 1.45 million of the 1.5 million shares of our stock authorized on to the plan an average price of $3.85. Clearly with the book value of approximately $8 per share and an adjusted book value of around $12 per share we believe this investment of our capital extremely accretive to our shareholders. Now, I would like to update you on the credit status of our portfolio and thus our view of the commercial real estate project. During the third quarter, we recorded $11.5 million of loan loss reserves related to two loans with outstanding balance of approximately $39. We also had some small recoveries previously recorded reserves during the quarter of approximately $1.3 million and addition to the 1.6 million of recoveries in the first two quarters and 18.1 of recoveries generated in 2010 for total recoveries of approximately $21 million to date. During the third quarter we’ve refinanced and modified $88 million of loans and expanded $120 million of loans. We also received 19 million of payoffs and pay downs during the quarter and for the nine months end of September 30 we generated approximately $150 million of cash from pay-offs, pay-downs, and a monetization of certain assets. In addition as previously discussed in October we had an agreement to sell one of our level assets for approximately $28 million, which should close prior to year end. Additionally at September 30, we have 10 nonperforming loans with UBP of approximately $50 million and a net carrying value of approximately $14 million which is down a $11 million from June 30, mainly due to the partial pay down and modification of one of our non-performing loans during the third quarter. Overall, the commercial real estate market recovery remains even. Although, there has been some signs of stabilization or recovery in certain segments, we feel that a substantial amount of our risk is related to our legacy assets have been resolved. However, further deterioration in certain markets or asset classes as well as the lack of liquidity available for some barrowers suffer dramatically from the recession could result in additional challenges related to some of our logs in our pipeline. So we’ll continue to aggressively evaluate portfolio and our barrowers as well as market conditions determined if any further reserves are necessary. In summary we excited about the investment opportunities we have seen and the overall macro stabilization that has begun in commercial real estate sector. We are confident that our deep originations will continue to produce high quality investment opportunities with attractive returns for us to grow our platform and increase our core earnings. And although there is still some uncertainty related to certain marketing conditions and asset classes which could result in additional losses in our portfolio, we are quite pleased with the pipeline of new business we have generated and our continued ability to recycle our capital through run-off and a monetization of our levered assets. Clearly, our primary focus will continue to be to invest our capital at the high yielding opportunities and appropriate leverage use investments with the goal of increasing our net spreads and core earnings have retuned to a dividend paying stock. I will now turn the call over to Paul to take you through some of the financial results.
Paul Elenio – Chief Financial Officer: Okay, thank you Ivan. As noted in the press release, we had a net loss for the third quarter of 2.4 million or $0.10 per share and a FFO of 642,000 or $0.03 per share excluding non-cash depreciation expense during the quarter. Additionally, FFO for the third quarter was basically breakeven excluding non-cash stock based compensation expense were approximately 500,000 to our directors during the third quarter. We recorded 11.5 million of in losses from our portfolio for the third quarter and this losses were partially offset by $1.3 million recovering of previously recorded reserves and after the third quarter reserves and charge-offs previously recorded reserves. We now have approximately $170 million of loan loss reserves and 23 loans but UPB of around $292 million as of September 30, 2011. This Ivan mentioned earlier, we also continue to repurchase our debt at deep discounts and monetize our equity clickers during the third quarter. Recording $5.1 million gain from the repurchases some of our CDO debt as well as $3.6 million gain from the monetization one of our equity interest. As September 30, our book value per share stands at $7.89 and our adjusted book value per share is $12.26 adding back deferred gains and temporarily losses on our swaps. These book value numbers do not take in account any dilution from the potential exercise of warrants issued as part of 2009 debt restructuring. Additionally, as Ivan mentioned we currently have approximately $55 million in cash on hand and $23 million cash posted against our swaps. And between this cash our REO assets, unencumbered assets and equity value in our CDO net of reserves as of September 30, we currently have approximately $450 million of value. Looking at the rest of the results for the quarter, the average balance in our core investments were relatively flat at around $1.6 for both the second and third quarters. The yields for the third quarter on these core investments was around 4.6% compare to 4.64% for the second quarter. Excluding a nonrecurring prepayment penalty received an early payoff in the second quarter, the yield on these core assets was around 4.54% for the second quarter compare to approximately 4.61% for the third quarter. This increase in yield was primarily due to higher yield on third quarter originations in the partial pay down in modification of one of our non-performing loans during the third quarter. Additionally, the weighted average all-in-yield on our portfolio also increased around 4.60% at September 30, compare to around 4.50% at June 30. Again, due to higher yields on new production. The average balances on our debt facilities also remain relatively flat from last quarter at approximately $1.3 billion. The average cost of funds in our debt facilities was approximately 3.51% for the third quarter compared to 3.87% for the second quarter without the one-time non-cash interest expense charge of $3.2 million related to monetization of one of our assets in the second quarter. Excluding the unusual impact on interest expense in some of our swaps for both second and third quarter, our average cost of funds was approximately 3.63% for the third quarter compared to around 3.79% for the second quarter. This decrease was mainly due to the maturity of certain rates swaps late in the second quarter. Additionally, our estimated all-in-debt cost was around 3.64% at September 30, compared to around 3.68 at June 30. So overall normalized net interest spreads on our core assets increased by 30% to approximately 0.98% this quarter from approximately 0.75% last quarter. Primarily due to increase yields on new origination and reduced interest expense from the maturity of certain interest rate swaps relate in the second quarter. Additionally, as we mentioned in our last few call we have acquired some properties that were securing certain of our loans in the normal course of our lending operations. Property operating income related to our OREO assets decreased approximately $300,000 compared to last quarter. Largely due to the seasonal nature I think on related to our portfolio hotels we acquired in the first quarter and property operating expenses increased $400,000 from last quarter. Mainly due to some ramp up in onetime cost from the decision to higher new property manager related to our portfolio multi-family properties we acquired at the end of the first quarter. As September 30, we have OREO assets we are holding for investment totaling approximately $149 million subject to approximately $75 million of assumed debt for net value of approximately $74 million. We believe we have an experienced assets management team and confident ability to managed these assets with goal of maximizing the value of our investments by increasing the NOIs overtime and repositioning these assets for further disposition. Next our average leverage ratios were relatively flat at around 70% on core lending assets and around 81% including the trust preferred as debt for the third quarter compared to 71% and 82% respectively in the second quarter. And our overall leverage ratios on a spot basis were also relatively flat 3.5:1 at September 30 and 3.4:1 at June 30. This was due to reductions in our CDO debt from runoff partially offset by the partial utilization of our new warehouse lending facility that we closed in July. There are some changes in the balance sheet compared to last year that are worth noting. Cash and cash equivalents increased approximately $17 million from last quarter partially due to transferring certain un-levered assets into our non recourse CDO vehicles which was partially offset by new originations net of pay-offs and pay-downs during the quarter. Restricted cash in our CDO vehicle decreased approximately $31 million from last quarter largely due to the transfer of certain un-levered assets into the CDO vehicles combined with $20 million of runoff in the second quarter that was used to pay down CDO debt in the third quarter. And we currently have approximately $35 million of investable cash in CDO3. Repurchased agreements and credit facilities increased by approximately $15 million due to the partial utilization of our new $50 million debt facility combined with leverage on the residential mortgage securities we purchased during the quarter. In addition, other comprehensive losses increased by about $4.6 million for the quarter. This was partially due to a decrease in the market value of interest rate swaps from a change in the outlook on interest rates. GAAP requires us to flow the changes in value of certain of our interest rate swaps through our equity section. And treasury stock increased $2.8 million from last quarter due to the repurchase of the company’s stock in accordance with our stock buyback program. And lastly, our loan portfolio statistics as of September 30 show that about 69% of the portfolio was variable rate loans and 31% are fixed. By product type, 60% was bridged, 20% junior participations and 18% mezzanine and preferred equity investments. By asset classes, 40% was multi-family, 35% was office, 9% hotel, and 11% land. Our loan-to-value was around 86%, our weighted average median dollars outstanding was 57%, and geographically, we have around 41% of our portfolio concentrated in New York City. That completes our prepared remarks for this morning. And I will now turn it back to the operator to take any questions you may have at this time. Operator?
Operator: Thank you. (Operator Instructions) Your first question comes from the line of Lee Cooperman of Arbor Realty (sic) (Omega Advisors).
Lee Cooperman – Omega Advisors: Yeah, thank you very much. Good morning.
Ivan Kaufman: Good morning Lee.
Lee Cooperman – Omega Advisors: Few questions, one is what are the actual shares outstanding at November 3?
Paul Elenio: Right now, Lee we have 24.2 million shares outstanding.
Lee Cooperman – Omega Advisors: Okay. Secondly, from the standpoint of REIT qualification, do you guys have the ability to reload your repurchase program or you kind of stopped out?
Ivan Kaufman: At the present time, we believe we have stopped out. We are evaluating this management whether there are other means to figure out how to increase that capacity in addition to the company being tapped out, I personally tapped out as well given the requalifications to limit my REIT purchases as well. But we are evaluating if there are certain ways for us to increase that capacity.
Lee Cooperman – Omega Advisors: Gotcha. Secondly, which measure book value do you guys consider the most realistic measure of business value?
Paul Elenio: Yeah, Lee. We have talked about this in the past. We believe the adjusted book value is more accurate. Clearly, it will take sometime to realize that adjusted book value, because the bigger component or the biggest differences or the only difference is between book value and adjusted book value or the value of the swaps that we used to have certain of our fixed rate loans that have deteriorated obviously as the interest rate market has done what its done. And it will take time for us recover that value as the loans and swaps become closer to maturity. Currently, I think we have an average life left in the swaps at around two years. So, it will take some time for us to get that value back. The other component is something we don’t necessarily control which is the deferred gain related to an equity ticket that we modified several years ago. And it was deferred for tax advantage reasons. We don’t control the real-estate so, obviously the real-estate is sold or refinanced and that gain is triggered, we will be able to realize for accounting purposes that equity value for keep in mind in all of that cash was received the while ago so, it’s just an accounting entry that we will be recording to increased the equity. So, clearly to us the adjusted book value is the right number, we’ll just take some time to be able to account for that from the accounting perspective.
Lee Cooperman – Omega Advisors: The last question, given the fact you have one of the assets of the company is some low cost liabilities within your CLOs and let’s just say split the difference and just take 8 and 12 in average say 10 bucks. What is the reasonable ROE for you guys to show it seemed to me 10% would not be terribly demanding and I’m just curious what number you will use and what timetable that we have to get there because that determines when we could start paying dividend, which will obviously be beneficial to all the holders.
Paul Elenio: Sure, Lee, it’s Paul. I’ll answer that question in a couple of different ways. One is obviously it’s very hard t predict with the ROE will be going forward with the great degree of certainty because a lot of factors that we don’t have control of yet and but some of the positives we have as we are clearly investing our capital and recycling our capital to higher yielding product and our core earnings continue to improve on a quarterly basis. We can look at in one way and say we have a $1.6 of the assets on our portfolio, earnings 4.6%, a $1.3 of debt paying 3.64%. If you do that math and annualize it that’s about a $27 million net, but today what’s without improving a going forward with higher yielding investments in recycling the capital. If you were to look at our normalizing operating cost of the nine months and annualize them and add in our ROE properties, we’re probably showing right now our core earnings run rate of about $8 million, which is clearly less been a 10% ROE on the capital, but the things that we’re looking to improve on and we have every quarter is continuing to recycle the capital into high yielding investments and increased that net interest spread, which has been happening and two, we just recently taking that two TOE properties that have been clearly mismanaged and we’re in there well on of our sleeves and we believe we’ll be able to improve the NOI of those assets significantly hopefully in a short-term to certainly over the long-term. So, we will continue to try to grow that core earnings each quarter and hopefully start to get closer to that number you are representing, but that’s were not quite area.
Lee Cooperman – Omega Advisors: Just an observation and you probably won’t respond but it seemed to me is highly and probable that you will end 2012 would not be paying a dividend sometime during the year.
Paul Elenio: I mean, it’s clearly our ambition to get back with dividend as quickly as possible. In addition to overall due that Paul gave you, we are now seeing reversal in trend and when it comes to renewals and extensions on our loan portfolio where there was a period of time we were adjusting rates down because of the economic underlying performance to the assets are actually the reverse start to happen where we are able to get additional fee and adjust rates more to where market is. So depending on how quickly and what the acceleration of that is we’ll have large impact in terms of how much we can grow our core earnings even beyond just no originations or leveraging those no originations. And clearly as I indicated we’re being able to dispose up some unleveragble assets and we’re disposing of a very large one in the fourth quarter into cash and we believe we can redeploy that cash for example which is current earning only about 4% into the market and lever that up that’s just one smaller paper of our ability to turn that around. So, I think you will see the impact about on this on a quarter-over-quarter basis and that generally that will dictate this speed and how quickly and what amount we can get back to a dividend.
Lee Cooperman – Omega Advisors: Got it, doing a good job and good luck and thank you very much for taking the questions.
Paul Elenio: Thanks, Lee.
Operator: Your next question comes from the line of David Chiaverini, BMO Capital Markets.
David Chiaverini – BMO Capital Markets.: Hey, good morning guys, couple of questions on the RMBS, now this is a business that you really have been all that active and recently. Has Arbor purchased RMBS in the past and it’s not that you guys did the advisor higher somebody that has that expertise or is just sort of new to you guys in total.
Paul Elenio: First half of Arbor’s core expertise and management comes out of the residential industry from 1983 to 1995 that’s what we have built our expertise.
David Chiaverini – BMO Capital Markets: Okay.
Ivan Kaufman: I mean personally and our core part of management approximately four years ago the manager got back into the residential arena by putting together a seasoned and experienced team to participate in that dislocated arena. And we actually have the management expertise especially service residential loans evaluate securities and whole loans. We’ve made a number of whole loan investments over the last quarter. And we have been evaluating securities for quite some time have an internally seasoned expertise on the bond evaluation side as well as the credit side. So, all of that is done internally and we been ramping up very, very slowly and very, very selective in terms of deploying our capital in this arena.
David Chiaverini – BMO Capital Markets: So, the purchases in the quarter they weren’t RMBS they were whole loans?
Ivan Kaufman: The purchases in this quarter were RMBS and they were levered. Some of the prior originations that we’ve done in the prior quarter were whole loans. So, we are doing both actually depending on the opportunities.
David Chiaverini – BMO Capital Markets: Gotcha. And how are you financing the purchases – are you able to use the new credit facility for those purchases?
Ivan Kaufman: No, we’ve entered into new facilities for these specific securities on repo basis with select the commercial bankers and putting those facilities in place on our ongoing basis.
David Chiaverini – BMO Capital Markets: Got it. And you mentioned the average life is being six to nine months for the once you purchased in the third quarter and then 12 to 18 months for the once purchase so far in the fourth quarter. Are you buying securities that they’re maturing in that period they are near the end of their – they’re going to mature soon or are you purchasing securities that in your opinion not going to prepay sooner and you’re targeting those?
Ivan Kaufman: Our specific strategy is to purchase securities that have a short-term life in the waterfall of securities and not to take any kind of extended mark-to-market repo risk. So, since we are utilizing leverage and since these leverage have mark-to-market provisions we are sensitive to any potential mark-to-market risk that may occur and we feel that we are mitigating our mark-to-market risk by participating in the class of securities that have very short-term duration.
David Chiaverini – BMO Capital Markets: Got it. Okay. And then moving on to the, how Arbor bought back some CDO debt in the quarter, I was curious what were the discounts paid on that to generate that $5 million gain?
Paul Elenio: Sure. Dave, it’s Paul. It was about, on average, that was about 50% purchase, $0.50 and a dollar purchase during the quarter.
David Chiaverini – BMO Capital Markets: Okay. And then lastly, it’s follow-up to the earlier question about the repurchase, any new repurchase authorizations, I was curious or interested by the comment about how you stopped out, I didn’t realize there is sort of REIT rule limitation in sort of maximizing the amount company could buy back. Could you just remind me what course, tell me what those rules are?
Paul Elenio: Sure. Every REIT has to deal with the closely held test or finally concentrated significant ownership into few people tests, so there is a test called the five or fewer and five people cannot own more than 50% of the voter value of the REIT, otherwise you don’t qualify as a REIT and because we are I think one of the most highly inside owned REITs out there, that it puts limitations with our current shareholder base on how much we and the company can buy without tripping that test.
David Chiaverini – BMO Capital Markets: I see. So, those, the top five holders are approaching that 50% mark?
Ivan Kaufman: Yes. Since I am a very large holder and another one of our directors is a very large holder. It creates an issue on total amount that can be held by any individual. So, to the extent there we decreased the total amount of outstanding that puts pressure on liability to buy more where company’s ability to increase its holdings. But as I said we are evaluating ways to perhaps greater flexibility at the present time, because we feel for the company still on attractive alternative and a certain large individuals still are ambitious to participate at these levels as well.
David Chiaverini – BMO Capital Markets: Understood. That’s all I have. Thank you.
Ivan Kaufman: Thank you.
Operator: (Operator Instructions) The next question comes from the Lee Cooperman of Arbor Realty.
Lee Cooperman – Omega Advisors: Yeah, hi, it’s Lee again. Just a theoretical question, I am not advocating this in the slide at this moment, but when you own roughly 5 million shares, your director has a lot of stock, I got a lot of stock. If three years from now, the market does not recognize us, what are the tax applications or the ability to us to go home and take this what you think is $12 real advisable value and the swaps will be way in three years. We just basically to home one of the company return everybody, the cash and go on to the next page of life. IKs that something that’s possible or just in practical?
Ivan Kaufman: Well, three years out is the long time, but I am a lot more ambitious than thinking that this is going to be a liquidating trust. I think I can continue to grow the platform, increase our core earnings and do substantially better. I think wonder things that were trying evaluate is other ways for value on looking at ability to buyback were stock in individually hope more. But I hoping in three years that is value of the franchise it’s going be substantially greater and at this junction we have no plans in operating just at liquidating trust to get that book value.
Lee Cooperman – Omega Advisors: I am having great respect to business intellect assume with you in your board maybe only much of the quarter to company, that you’ll be very careful this buyback this sense that recognizing that buying back under that stock. The essential damaging yourself I much think you pretty exciting about the something back in 30% the value?
Ivan Kaufman: Exciting not about continue to evaluate on otherwise considering lot do more.
Lee Cooperman – Omega Advisors: Because like together. Thank you.
Ivan Kaufman: Thank you.
Operator: Ladies and gentlemen, that concludes Q&A session. I would now like to turn the call back over to management.
Lee Cooperman – Omega Advisors: We appreciate your participation today, I am very pleased with our ability to stay focused to achieve our objectives and stay disciplined and put the company in what we consider be a very favorable position. Thank you.
Operator: Ladies and gentlemen, the conclude today’s conference. Thank you for your participation. You may now disconnect. Have a great day.